Operator: Greetings, and welcome to MamaMancini's Fourth Quarter and Fiscal 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Adam Michaels, Chairman and Chief Executive Officer. Thank you, sir. You may begin.
Adam Michaels: Thank you, operator, and thank you to everyone for joining us today. I'd like to welcome you to our fourth quarter fiscal 2023 financial results conference call. Throughout the second half of fiscal '23, we continued to execute our [3C] strategy delivering another strong quarter on our sustainable path to profitability, further building the foundations for a national deli solutions company. In the fourth quarter, we saw significant increases in margins and sustained growth and profitability. 68% sequential growth in net income to $1.8 million in the fourth quarter to be exact. We continue to execute on our goal of accelerating and expanding our existing family of brands, while strategically leveraging incremental consumer-driven innovation and accretive potential acquisitions to fill out gaps in our portfolio as needed. Our vision is to become a one-stop shop for prepared foods for grocery, mass, club and convenience channels, addressing the $40 billion-plus food service and prepared foods market with our grocer partners. With food inflation for 2022 rounding out at 12.5%, unemployment at 3.5% with underemployment closer to 7% and recessionary pressures abound, consumers are choosing to eat out less and are transitioning even faster and in greater numbers to grocery food store prepared foods. Even with these pressures, there is still an intense consumer desire for quality with many focusing more than ever on quick, clean and fresh meals made with better ingredients at a price more affordable than eating out. Recent studies show that the private label food and beverage category is growing at twice the rate of branded with 73% of consumers having developed a taste for private label brands with no plan to switch back even after the economy approves, a tailwind for our hybrid strategy of pursuing an even mix of branded and unbranded opportunities. On the other side of the counter, retailers today continue to face significant supply chain and labor challenges and are seeking labor efficient, reliable solutions for their hot bar, deli and grab-and-go offerings. As we move through 2023 and beyond, today's recessionary pressures will continue to focus our consumers and retailers on high-quality, easy to prepare and affordable meal solutions, all of which MamaMancini's delivers on. We feel our offerings position us well for any foreseeable macroeconomic forces. The realization of our goal to shape MamaMancini's into a one-stop shop for these deli prepared food solutions has required a step change in our corporate structure in many ways. Throughout the year, we are highly focused on the continuous foundational improvement of our 3C strategy; cost, controls and culture. New approaches to cost management have driven noticeable improvements in procurement, an area we expect to improve further with the recent hiring of our first ever Chief Procurement Officer. In manufacturing, where we're making strategic high ROI CapEx investments to enhance throughput and margins as well as in logistics management where our recent hiring of a dedicated logistics lead has noticeably driven down our freight costs by consolidating our shipments into fewer but fuller truckloads. Under the mantra of what gets measured, gets improved, we now track order profitability on a weekly basis and have implemented the first customer-level profitability reviews on a monthly basis. This allows us to track input costs better and bring more agility to our pricing and supplier cost management. Understanding customer-level profitability also allows us to decide on trade promotion strategies more efficiently as we are willing to invest more with customers who invest in us. As Matt will mention later, our efforts to more efficiently manage labor costs, particularly over time, outbound logistics and cold storage are realizing noticeable returns, allowing us to reinvest in our business. Commodity prices continued to improve in the quarter as well, providing significant tailwinds for our margin profile driving a fourth quarter gross margin improvement of over 950 basis points year-over-year and 260 basis points sequentially enabling us to achieve $1.8 million of net income in the fourth quarter alone. Without what I expect will be a onetime book-to-tax adjustment that improved our net income by approximately $0.5 million, our net income still saw robust sequential improvement to $1.3 million, representing net income margins in the high 5% range, in line with our expectations in the mid-single-digit range. On the controls front, late last year, we brought in our new CFO, Anthony Gruber as well as our new Controller, Peter Manche who have helped to build a strong foundational finance rigor along with the entrepreneurial spirit critical to succeed. We put new financial and operational controls in place to help our teams and provide agility for sales and operations staff. For example, deductions have parentally been a profit center for freight operators and retailers by putting in place dedicated resources, a regular cadence of check-ins and real-time analytics to track deductions, deduction reasons and invoices, we have dramatically reduced deductions directly improving our bottom line. Operationally, we recently strengthened our corporate governance with 2 qualified independent director appointments. Meghan Henson's deep knowledge and experience in the human resources field will be an invaluable asset to the company as we evolve into a truly national platform company. Shirley Romig's corporate governance skills and experience, building and leading public companies through various stages of maturity using digital-first social media strategies further strengthens our board and will enable us to better connect with new demographics. I want to thank both of them for their passion, trust and commitment to MamaMancini's. And last, but certainly not least, building a company culture that is geared for and incentivizes profitable growth. Our people are at the core of what we do and hiring, promoting and retaining talent is paramount to our long-term success. We often speak of our vision to reaffirm, reinforce and remind all of our employees that our one-stop shop deli solutions strategy. We have performed full talent assessments for our management level, investing in our people and upgrading our talent not only to support today, but to build for tomorrow. Our newly created performance reviews provide actionable feedback for our teams with not only the what being measured, but also the how. Our new Chief Financial Officer and Chief Procurement Officer, are just the beginning. I am proud of the rapid progress we have made to strengthen our finance and operational organizations. With the confidence I now have in these two functions, we have a solid foundation from which to grow. Now we could focus on the necessary build-out of our understaffed sales and marketing organization. We are already in the process of recruiting best-in-class talent to grow our brand voice and our feet on the street to take our sales reach to the next level, leveraging our passionate followers and fresh, clean products to more aggressively sell into both new and existing customers. We plan to have this supercharged sales and marketing organization firmly in place in the coming months, which will enable more robust organic growth for the combined company going forward. While margin will remain our first, second and third priorities, we continue to strengthen our partnerships with new and existing customers. We received our first orders from a new West Coast grocery chain as well as from Roundy's, a Midwest Kroger subsidiary. We continue to grow our Costco partnership, expanding our strong Northeast relationship into the Midwest region as well as the Pacific Northwest region. Our initial success in these new regions have opened the door to meetings with a further 2 regions. While new customers are great, we continue to believe that getting more items into existing stores is even more powerful. And here, our sales and marketing team did not disappoint. After terrific work by our sales team, we received commitments from another major warehouse club chain to expand our offerings from 5 items to 9, all hitting in Q1. Average items carried grew in Ahold, Albertsons, Weis and others. You will also be hearing more next quarter about our successful portfolio expansion. Our 3 businesses, MamaMancini's, T&L Creative Salads and Olive Branch are now working well together as one united team. I mentioned on our last earnings call, how by working together, we saw tremendous freight efficiencies, representing north of 200 basis points of savings. As we closed out the fiscal year, the sales team began working together, resulting in cross-selling successes at a warehouse club chain, Delhaize and Fresh Market. The results have exceeded our already high expectations. In the coming weeks, you will be hearing how we are leveraging our T&L Creative Salads' product offerings to expand and strengthen our MamaMancini's branding, heritage and packaging. To better reflect our transition into a national deli solutions platform company, at our next annual meeting, we will pursue a corporate name change to Mama's Creations, along with a ticker change to MAMA which we have currently reserved with NASDAQ. To be clear, the consumer-facing brand, MamaMancini's will remain unchanged, anchoring our authentic Italian heritage products. In addition to serving as the corporate name of the parent company for our family of brands, we envision Mama's Creations to be a consumer-facing brand for select non-Italian products that don't fit under the MamaMancini's brand, such as Mama's Asian creations for our General Tso's Chicken or Mama's Tex-Mex creations for our fajitas or our Mama's Indian creations for our Chana Masala. We believe this name and ticker change better reflects our identity as a national one-stop shop deli platform company and look forward to unveiling this brand to the industry in early June at the IDDBA or the International Dairy Deli Bakery Association, a major industry trade show. From there, we expect to finalize a corporate name and ticker change this summer. Taking a look ahead, we believe that supported by strong organic growth and successful cross-selling efforts to grow the average items carried by our grocer partners throughout the pending build-out of our sales and marketing organization in the coming months, we will continue to gain market share for our peers in a highly profitable manner. Given the aforementioned margin tailwinds, I believe we can improve our normalized gross margin profile from the mid-20s -- mid-20 range to the upper 20-range in the near term. Longer term, with the recent appointment of our new Chief Procurement Officer, Logistics Director and the continuous optimization of our operations, we could return to a gross margin profile north of 30%, while we are currently targeting mid-single-digit net income margins, I firmly believe that over the long term, we can improve this figure to approximately 10%, with adjusted EBITDA margins in the teens percentage range. In summary, I believe we are well positioned to continue this level of operational and financial execution in fiscal '24 and beyond. As we improve our internal processes firm-wide to become brilliant at the basics, we are building a more resilient and flexible organization that I believe can deliver sustainable value to my fellow shareholders for years to come. I look forward to continuing to update you on our achievements as we seek to further unlock MamaMancini's unrealized potential. With that, I'd like to turn the call over to Anthony Gruber, our Chief Financial Officer, to walk through some key financial details from the fourth quarter of fiscal 2023. Anthony?
Anthony Gruber: Thank you, Adam. Revenue for the fourth quarter of fiscal 2023 increased 64% to $22.8 million as compared to $13.9 million in the same year ago quarter. Revenue for fiscal 2023 increased 98% to $93.2 million as compared to $47.1 million in the prior year. This increase was well balanced between volume and price largely attributable to strong organic growth across all divisions, chiefly through cross-selling as well as by inorganic growth through the acquisition of T&L and Olive Branch. Further -- to provide further color, the organic growth we saw from T&L and Olive Branch in their first year post acquisition exceeded our initial expectations by over 150%. Gross profit increased 147% to $6.4 million or 28.2% of total revenues in the fourth quarter of fiscal 2023, as compared to $2.6 million or 18.7% of total revenues in the same year-ago quarter. Gross profit increased 64% to $19.4 million, or 20.8% of total revenues in fiscal 2023 as compared to $11.9 million or 25.2% of total revenues in the prior year. The increase in gross margin was attributable to the normalization of commodity costs, successful pricing actions and improvements in operational efficiencies across the organization. The company continues to identify procurement and logistics efficiencies and cost savings through stronger buying power created through the acquisition of T&L and Olive Branch. Operating expenses totaled $4.5 million in the fourth quarter of fiscal 2023 as compared to $4 million in the same year ago quarter. As a percentage of sales, operating expenses decreased in the fourth quarter of 2023 to 19.9% from 28.8% in the same year ago quarter. Operating expenses totaled $16.6 million in fiscal 2023 as compared to $11.8 million in fiscal '22. As a percent of sales, operating expenses decreased in fiscal 2023 to 17.8% of sales as compared to 25% in the prior year. Operating expenses as a percentage of sales benefited from synergies created through acquisitions of T&L and Olive Branch. Net income for the fourth quarter of fiscal 2023 was $1.8 million or $0.06 per diluted share as compared to a net loss of $1.3 million or minus $0.04 per diluted share in the same year ago quarter. Net income for fiscal 2023 was $2.3 million or $0.06 per diluted share as compared to a net loss of $0.3 million or minus $0.01 per diluted share in the prior year. The fourth quarter was impacted by a onetime book-to-tax adjustment that improved net income by approximately $0.5 million. Without this onetime benefit, net income still saw robust sequential improvements to $1.3 million, representing net income in the high 5% range in line with the company's expectation in the mid-single-digit range. Adjusted EBITDA, a non-GAAP term, increased to $2.3 million for the quarter -- fourth quarter of fiscal 2023 as compared to an adjusted EBITDA loss of $0.8 million in the same year ago quarter. Adjusted EBITDA increased to $4.3 million in fiscal 2023 as compared to $1.1 million in the prior year. Cash and cash equivalents as of January 31, 2023, were $4.4 million as compared to $0.9 million as of January 31, 2022. The increase in cash and cash equivalents was driven by $2.3 million in cash flow from operations in the fourth quarter of fiscal 2023. $1.3 million of which was used to pay down the company's long-term debt, bringing the total debt retired in the second half of fiscal 2023 to $3.2 million. This completes my prepared comments, I'd like to now turn over the call to Matt Brown, our President and Chief Operating Officer for an operations update. Matt?
Matthew Brown: Thanks, Anthony. It's great when the last chapter of the year ends on a high note and with momentum into the next fiscal year. Operationally, fiscal Q4 2023 did not disappoint. As Adam and Anthony have both mentioned, but it's worth repeating, gross margins in the fourth quarter improved 950 basis points year-over-year to 28.2% further illustrating that fiscal 2023 was a tale of 2 halves. We were successful in reversing the challenging first half numbers and beating our own estimates while laying the foundation for profitability for years to come. Now let's talk about how we achieved this level of success in the fourth quarter. First, we addressed labor. As with Q3, our management team in East Rutherford continued to hold the line with regards to overtime in Q4. To keep a positive working environment, overtime costs were replaced with strategic incentive programs to get more productivity in less time. The cost of the incentives were surpassed by the additional volume the plant was able to generate and the results was a reduction in labor cost of 220 basis points year-over-year and 70 basis points sequentially. Second, we continue to work hard at leveraging the combined purchase power of our 2 facilities to drive down our prices with suppliers of key raw and packaging materials. We took advantage of commodity softening to buy in at aggressive prices, which held through Q4. Carefully watching the ag market in Q4 helped us lock in at a low price just prior to a 90% increase in the category. Overall, we were successful in reducing raw and packaging costs in East Rutherford by 785 basis points year-over-year. Finally, we tackled logistics. Our newly formed logistics team continued to be aggressive in Q4 and challenged our freight carriers to provide best-in-class service at fair prices. By continuing to bid out our outbound and inbound orders, we were successful in reducing our costs in fiscal Q4 by another 70 basis points sequentially, while the second half of 2023 saw savings of over 180 basis points as compared to the first half of 2023. Last quarter, we spoke about a plan to begin the consolidation of 6 cold storage facilities. And by the end of fiscal Q3, we had eliminated the least 2 efficient operations. In Q4, We continued with the program in place and eliminated a further 2 locations, while at the same time successfully negotiating a better pallet rate at the remaining 2 locations. While the consolidation efforts have been successful at eliminating costs that were not creating value, we still have work to do in researching future cold storage options including, but not limited to, investing in a centralized facility between the business units that we would control. In Q3, we talked about researching better technology to further increase our plants' capacities and efficiencies. In Q4, we made a purchase of a continuous spiral cooking oven for our East Rutherford facility. Our current oven is over 5 years old and is reaching the end of its useful life. We anticipate the new oven to increase throughput by 40% over our current oven while still maintaining the same physical footprint. Our 30-foot ceilings gave us the idea to increase the height of the new oven, enabling us to get more rotations inside the chamber. The acquisition was completed in Q4, and with lead times and repiping of gas lines to accommodate, we expect to fire it up over the summer. Assuming a 5-year 60-month useful life, we expect a 46.7% modified IRR on this purchase. Both Farmingdale and East Rutherford spent a portion of Q4 preparing for our annual SQF or food safety audits, which took place in early Q1 of fiscal 2024. I'm proud to say that both facilities pass the audits with scores of 96% and 98%, respectively. These scores provide assurances to our bigger customers that we adhere to strict policies and procedures when it comes to the quality and safety of our food production. Finally, Adam briefly mentioned our latest hire in the area of procurement with the 2 facilities, it is critical that we implement a best practices model with regards to how we manage our inventories and capital expenditures. Our new Chief Procurement Officer, Joselina Peralta, comes to us with years of experience doing just that. She will be working with her team across both locations to standardize our material specs and provide guidance with regards to future CapEx, investments to ensure that we are making smart decisions when it comes to ROIs. Now before we begin our question-and-answer session, I'd like to turn the call back to Adam for some closing remarks. Adam?
Adam Michaels: Thank you, Matt. Our aspiration is to build upon the strong foundation and vision outlined here today, driving sequential increases in profitability throughout this fiscal year, enabled through an increase -- enabled by increasing our average items carried, penetrating new retailers and further strengthening our margin profile. Accomplishing this through the impending build-out of our sales and marketing organization paired with the future acquisitions to further build out our in-house capabilities and product suite will allow us to become a first-of-kind national deli solutions company. All with the goal of delivering sustainable long-term value to my fellow shareholders. With that, I'll turn it over to the operator to begin our question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question comes from Ryan Meyers with Lake Street Capital Markets.
Ryan Meyers: Nice work on the quarter. It's always good to see another solid quarter of execution. As we think about the gross margin at 27.5% that you guys reported, is this the new baseline for the business that we should think about? And as we look at FY '24, the goal is going to be to kind of meet or exceed that? Or is there any seasonality going on that we saw here in Q4 that was kind of stronger than, I guess, expected gross margin? Or how should we think about that?
Adam Michaels: Yes. Thanks, Ryan, and I appreciate the fine words. A great team effort. I think as we said in our calls, we're working to be -- to move from the mid-20s to the high 20s. I think that we'll have to continue to watch commodity prices. We see beef prices moving up and chicken. But I think equally, I'm really excited to see what the team is able to do. There's still tons of stuff that I know Matt is working on, Joselina and others. So I think we're targeting that upper end of the high 20s, maybe the low end of the high 20s, but that's what we're shooting for. And I think that's what the team is working towards every quarter.
Ryan Meyers: Got it. And then can you quantify the revenue during the quarter and how much of that came from cross-selling versus how much of it was just kind of strength in the existing products?
Adam Michaels: Yes. So we don't do customer by customer, but I can say that, first of all, all 3 of our businesses grew double digits. So all 3 of our businesses are growing organically double digits. I think cross-selling certainly helped a lot. Our sales lead would tell you that it is much easier to sell a plethora of offerings, whether it be beef or chickens or salads or sandwiches versus just historically selling meat balls or just sausages and peppers. So I think the cross-selling is actually working, and I shared some examples of some of the customers that we're getting cross-selling for. I would use this time to mention we spoke a little bit about future growth. I continue -- we continue to be very focused on margin. There are -- in the first half of this year, there was a club rotation that we elected not to renew because we didn't feel it met our margin thresholds. That customer is actually doing great, literally growing double digits but that particular rotation, we -- again, we decided that the focus is on margin. I think that the first half of the year is going to be a little more muted, but I do expect the second half of the year to be growing double digits.
Ryan Meyers: Got it. Yes. No, that's helpful. And then just kind of a bigger picture question. As we look at FY '24, what do you feel like are the biggest milestones that we should be paying attention to? As far as getting a good understanding of the execution of the business and how you're continuing to build this?
Adam Michaels: Yes. No, thank you. So I mentioned earlier that I am super proud of what Anthony has built in finance and what Matt has built in operations. I said the next thing that we have to go after is continue to build up our sales and marketing organization. That is the -- again, after margin, that is the focus. So I think the big thing that I need, I hope you guys see from us is, one, we get the team in place. You see what we did when we get great finance talent, you see what happens. You see what happens to our margin when you get great operations talent, you see what happens. I want you to see the same thing. So we are very focused on HR to bring in great marketing talent and great sales talent. I think that's the thing that if you see that in the first half of the year, we feel good that in the back half of the year, those investments will reap return. So the last thing I'll say is immediately, what's great, you're seeing an immediate impact when it comes to margin on these new hires. So this is like found money. The ROI is huge when you bring in great talent, and that's what we've seen in the past, and that's what I expect to see with our sales and marketing team that we're hopefully able to hire in the future.
Operator: [Operator Instructions] Our next question comes from Howard Halpern with Taglich Brothers.
Howard Halpern: Congratulations, guys on great quarter and great year. In terms of migrating into the convenience store market, how some of those tests have gone throughout the year?
Adam Michaels: Yes. So thanks. And Howard, so thanks for talking about the Meatballs-in-a-Cup. I'm really excited. Actually, the team has been working on it, and you're going to see some even more excitement at IDDBA, where we'll be unveiling a portfolio of sorts of Meatballs-in-a-Cup, which has been doing well. I think the tests have been great. The tests have actually done exactly what we hoped it would do, which is give us additional information. You'll see some slight tweaks to the new product that gets unveiled in June, and we're getting great feedback from the customers. I think post-IDDBA, you're going to see us talk about more items, more customers and again, opening creating that billboard effect. I think one item is a challenge. Now I think you're going to see at IDDBA that we have a number of offerings that's going to make it actually easier to drive velocity of the products. So very excited.
Howard Halpern: Okay. And in terms of getting the sales and marketing team in place in the first half of this year, with the product portfolio that you do have, do you envision the sales cycle being much -- just shorter or a different type of sales cycle to get into brand new customers?
Adam Michaels: Yes. So I think there are a couple of things directly to your question that help us and create some tailwinds. So the first one is we have a lot of great customers that we're meeting with every single month -- existing customers, every single month and every single quarter, and it is exponentially easier to get a new product in to an existing customer versus finding a new customer, filling out the 833 forms and getting all those approvals. The first thing that we're doing is actually going after existing customers. I've spoken in the past that we're averaging only about 5 to 6 items carry per store. I'm not exaggerating. We should be at not 5 to 6, we should be at 15 to 16. We have all the products there. So I think that's going to help. The other thing that I'm optimistic about is bringing in some new talent, specifically leadership in the direct-to-consumer space will unlock additional areas that, again, have a shorter cycle than again, finding a completely new customer. But it can and it will happen.
Howard Halpern: Okay. And with the incremental increasing the products on the shelf, that will only help gross margins down the road, correct?
Adam Michaels: Absolutely. I'm glad you highlighted that. Without a doubt. So keep in mind, you get -- we're already speaking with the customers. Our trucks every day are already going there. So any chance, I know, Matt, make sure definitely reminds me. Every chance to get a full truckload, 24 pallets to a customer, the better we are, actually, to your point, freight actually declines. So yes, absolutely, that's no secret that's what my focus is.
Howard Halpern: Okay. And then just one last one. CapEx, anything out of the ordinary for this upcoming year or it should be somewhere around the same as it was last fiscal year?
Adam Michaels: So I actually hope it's slightly more. The great news -- so first, the great news is we had plans, and we got approval from the Board to increase CapEx; two, we made sure that all of that CapEx, 100% is funded from cash flow from operations. We have an amazing team, an amazing relationship with our bank M&T and I actually hope I'm pushing the team to invest more. Now very specifically, I'm looking to invest more CapEx and things that are going to drive higher efficiencies in our facilities. Matt mentioned this, [indiscernible] a 40% improvement. I'm working with Anthony Morello, who leads our Farmingdale, T&L facilities on what we can do to drive greater efficiencies in our chicken production and salad production. So I'm actually looking to increase CapEx. But again, all of that is within plan, within our margin profile and all funded through cash flow from operations.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Adam Michaels for closing comments.
Adam Michaels: Thank you, operator, and thank you again to each of you for joining us on today's earnings conference call. We look forward to continuing to update you on our progress as we strive to deliver value to our shareholders and execute upon our vision of a national one-stop shop deli solution provider.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.